Operator: Ladies and gentlemen, thank you for standing by and welcome to the AMETEK’s Third Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Tuesday, October 25, 2011. I would now like to the turn the conference over to Mr. Bill Burke, Treasurer and Vice President of Investor Relations. Please go ahead, sir.
Bill Burke – Treasurer and Vice President, Investor Relations: Thank you, (Frank). Good morning, everyone and welcome to AMETEK’s third quarter earnings conference call. Joining me this morning are Frank Hermance, Chairman and Chief Executive Officer and John Molinelli, Executive Vice President and Chief Financial Officer. AMETEK’s third quarter results were released earlier this morning. These results are available electronically on Market Systems and on our website at the investor section of ametek.com. A tape of today’s conference call may be accessed until August 8th by calling 800-633-8284 and entering the confirmation code number 21539558. This conference call is also webcasted. It can be accessed at ametek.com and at streetevents.com. The conference call will be archived on both of these websites. I will remind you that any statements made by AMETEK during the call that are not historical in nature are to be considered forward-looking statements. As such, these statements are subject to change based on various risk factors and uncertainties that may cause actual results to differ significantly from expectations. A detailed discussion of the risks and uncertainties that may affect our future results is contained in AMETEK’s filings with the Securities and Exchange Commission. AMETEK disclaims any intention or obligation to update or revise any forward-looking statements. I will also refer you to the investor section of ametek.com for a reconciliation of any non-GAAP financial measures used during this conference call. We will begin today with some prepared remarks, and then we will take your questions. I will now turn the meeting over to Frank.
Frank Hermance – Chairman and Chief Executive Officer: Thank you, Bill. AMETEK had a strong third quarter. We established quarterly records for operating income, operating margin, net income, diluted EPS, and operating cash flow. Sales in the third quarter were up 16% to $750.5 million. Internal growth was strong at 8% while acquisitions added 7% and currency added 1% to sales. Operating income for the third quarter increased 24% to $159.6 million from a $128.6 million last year reflecting the impact of the higher sales in our operational excellence activities. Operating margins were a record at 21.3%, a 130 basis point improvement over the third quarter of 2010. Net income was up 27% to $98 million and diluted earnings per share of $0.60 were up 25% over the last year’s third quarter. Orders in the third quarter were up 5% organically and 3% overall, the acquired backlog is excluded from last year’s third quarter orders were up 8% overall. Operating cash flow in the quarter of $137 million was a record representing a 120% increase over last year’s third quarter. Free cash flow was a $125 million or 128% of net income. Working capital management was excellent. Operating working capital was 17.5% of sales matching our best ever levels. Turning our attention to the individual operating groups. The Electronic Instruments groups had an excellent third quarter. Sales were up 21% to $409.5 million on continuing strength in our process, power, and industrial businesses and the contribution from the Atlas Material Testing Technology acquisition that we completed last November. As expected, our oil and gas businesses were very strong. Internal growth for EIG was 12%, acquisitions added 7% to sales while currency added 2%. EIG’s operating income increased 23% to $102.4 million. Operating margins were very strong at 25%, up 40 basis points over the last year’s third quarter. The electromechanical group also had an excellent third quarter. Sales were up 11% to $341 million on strength in our differentiated businesses and the contribution from the acquisition of Avicenna Technology and Coining. Internal growth was 3%, acquisitions added 7% to sales while currency added 1%. EMG’s operating income increased 22% to $68.4 million. Operating margins were strong at 20% up 180 basis points over the last year’s third quarter. These were record operating margins for EMG. Operational excellence is the cornerstone strategy for the company and our focus on cost and asset management has been the key driver to both of our competitive and financial success. Operational excellence has many facets within our company including lean manufacturing, Six Sigma, and our factories or back office operations, design for Six Sigma, and our new product development efforts, and the movement of production to low cost locals. We also continue to drive lower cost through our global sourcing office and strategic procurement initiatives. From the sourcing activities, we’ve recognized $8 million in savings in the third quarter and expect $29 million in savings for all of 2011. These efforts were key drivers in the record operating margins in the third quarter. Global and Market Expansion to (Kim) continues to be a driver for AMETEK’s growth in the third quarter of 2011 international sales represented 50% of our total sales and international growth was very strong. Through the investments we’ve made over the last several years, sales growth in the BRIC locations was excellent at 44% in the quarter. This quarter, our third-party MRO business signed a three-year agreement with lufthansa Technik in Germany to provide MRO services on a heat transfer product lines including Heat Exchangers, Oil Coolers, and Fuel Heaters. Annual revenues for the products covered by this agreement are projected to exceed $1 million. This win represents another example of our third-party MRO businesses expanding market share. Our programmable power business booked the $1.6 million order for solar array and battery simulator system for our Russian spacecraft manufacturer. These systems will be used to support Russia’s space program. This is the first major space order flow program will be power in Russia and the combination of 10 months of strategic focus. There are two additional significant proposals currently being worked on with other Russian manufactures and are expected to close in early 2012. New product development is a key to our long-term health and growth. We have consistently invested in RD&E. We expect to spend a $139 million in 2011, up 24% over 2010, so, a very significant investment. And we’re excited about some recent introductions. AMETEK Prestolite Power released a new high frequency battery recharger for the motor power market. Prestolite Power is the largest independent manufacture of motor power rechargers and the new clips to high frequency charger adds to its extensive family of chargers. The new battery charger provides a power efficiency of greater than 92% providing any energy savings for the end user. Sales in the first year for the new Eclipse II charger is expected to total $9 million. In September, our SPECTRO business introduced the SPECTROBLUE and inductively coupled plasma optical emission spectrometer. The SPECTROBLUE in ideal system for environmental laboratories establishes new levels of performance for common laboratory analysis were stability high throughput, an interrupted operation and especially low cost of ownership are important. Customer interest in news releases high and we expect is product will gain rapid market acceptance. From an overall perspective, revenue from products introduced over the last three years was 20% of sales in the third quarter, up from 19% in 2010, reflecting the excellent work of our businesses in developing the right products to serve their customers. Turning our intention to acquisitions. Over the last quarter, we’ve been working through a very full pipeline of potential acquisitions. And I am pleased to know that we announced two recently like our technologies, which was announced last week, an EM test which we announced this morning. Together these businesses represent $95 million an annual revenue and capital deploy of approximately $240 million. Together with the acquisitions of Avicenna Technologies and Coining earlier this year, we have now deployed approximately $425 million on these acquisitions this year acquiring approximately $185 million in annual revenue. Looking at each of these deals. Reichert technology is a privately held manufacture of analytical instruments and diagnostic devices for the eye care market headquartered in Depew New York that’s near Buffalo. Reichert had estimated annual sales of $55 million. We paid approximately a $150 million for the business. Reichert is a leader and innovator in high end instruments used by ophthalmologists, optometrists, and opticians worldwide to diagnose vision correction and eye diseases such as glaucoma and macular degeneration. Reichert is an excellent acquisition, which expands AMETEK’s business in the medical market and enable us to enter the highly attractive ophthalmic device market with an industry leader and innovator. Reichert invented the industry-standard Phoroptor refraction device used in vision correction diagnosis. They are also leader in tonometry instruments used to measure intraocular pressure, a key indicator of glaucoma. The acquisition of Reichert adds significantly to our position in the medical market and provides us with another adjacency to grow in this attractive market segment. Reichert complements our acquisitions of Avicenna Technology earlier this year and Technical Services for Electronics in 2010. Both of these businesses provide highly engineered components and connectors to the medical industry. Reichert Technology is also broadens the range of products we offer, which includes Precitech Optoform machine tools used in niche, ophthalmic, lens manufacturing. With this acquisition, AMETEK has approximately $250 million in sales to the medical market representing approximately 8% of AMETEK’s overall sales. The second acquisition is EM test, a privately held manufacturer of electronic test and measurement equipment headquartered in Reinach, Switzerland. EM test is a global leader and equipment used to perform electrical immunity and electromagnetic compatibility testing. EM test manufacturers of full line of conducted electromagnetic compatibility test equipment including electrical fast transient generators, electrostatic discharge simulators, surge generators waveform stimulators, and multifunctional generators. Its products are used in test applications by a wide range of industries to ensure that electronic and electrical products are not acceptable to external electromagnetic disturbances and did not generate electromagnetic disturbances that might affect other products or instruments. EM test is the excellent addition to our program we will power test the measurement equipment business, it serves as a valuable platform for growth in the highly attractive market for electrical immunity testing and a emissions measurement. EM test was privately held and has annual sales of approximately $41 million the price paid was $93 million. Acquisitions will continue to be a focus for us for the balance of 2011 and in 2012 as we see the strategy as a key driver to the creation of shareholder value. We had the financial capability, managerial capability and disciplined approach to support this acquisition’s focus. Our backlog a deals is excellent. Our balance sheet is strong, and our cash flow and financing facilities provide us with ample liquidity to pursue this strategy. Turning to the outlook for 2011, overall our businesses continue to perform well with our longer cycle, oil and gas, power, and aerospace businesses showing particular strength. We anticipate 2011 revenue to be up approximately 20% from 2010 and organic growth to be up low double-digit. This is an increase from our previous guidance. Earnings for 2011 are now expected to be in the range of $2.30 to $2.34 per diluted share, up 33% to 34% over 2010, reflecting the leveraged impact of core growth and our streamlined cost structure. This is an increase from our previous guidance of $2.30 to $2.34 per diluted share. Fourth quarter, 2011 sales are expected to be up low double digits on a percentage basis over last year’s fourth quarter. We estimate our earnings to be approximately $0.60 to $0.62 per diluted share, an increase of 20% to 24% over last year’s fourth quarter of $0.50 per diluted share. So in summary, our overall business performed extremely well in the third quarter of 2011. Our strong portfolio of businesses proven operational excellent capabilities and a success we’ll focus on strategic acquisitions have enabled us to perform well in 2011 and provide AMETEK with a solid foundation going forward. We have a strong balance sheet and generates significant cash flow that provides us with plenty of liquidity to operate the business and pursue our acquisition strategy. In addition to acquisitions, we continue to make sizable investments in new product development as well as global and market expansion to position ourselves for future growth. John will now cover some of the financial details and then we’ll be glad to take your questions. John?
John Molinelli – Executive Vice President and Chief Financial Officer: Thank you, Frank. As Frank noted, we had an outstanding third quarter with excellent financial performance and the high quality of earnings. I will provide some further details. Selling expense were 10.0% of sales in the third quarter down from 10.2% in the prior year’s third quarter. General and administrative expenses were 1.5% of sales, below last year’s third quarter level of 1.6%. The effective tax rate for the quarter was 29.5% up slightly from last year’s third quarter rate of 28.9%. We anticipate a tax rate of between 30% and 31% for the full year 2011. As we had said before, actual quarterly tax rates can differ dramatically due to positively or negatively from this full year rate. On the balance sheet, working capital defined as receivables plus inventory, less payables was 17.5% of sales, down from 19.2% in last year’s third quarter, reflecting the great work done by our operating units to reduce the company’s investment here. Compared to last year’s third quarter, our collection cycle improved to 49 days from 52 days, and our inventory turns improved by 9%. Capital spending was $12 million for the quarter. 2011 capital expenditures are expected to be about $45 million. Depreciation and amortization was $21 million for the quarter. 2011 depreciation and amortization is expected to be approximately $87 million for the year. Operating cash flow for the third quarter was a $137 million up 20% over the cash flow for last year’s third quarter and cash flow was up 21% on a year–to–date basis. Free cash flow was a $125 million for the third quarter representing a 128% of net income. For the full year we anticipate free cash flow to be approximately 115% of net income. Total debt was $1.11 billion at September 30th down $57 million from year-end. Expenditures for acquisitions through September 30 totaled approximately $185 million. Offsetting this debt is cash and cash equivalents of $280 million resulting in a net debt to capital ratio at September 30 of 30.4% down from 36.2% at December 31. At September 30 we had approximately $1.06 billion of cash and existing credit facilities to fund our growth initiatives. This amount includes the new five year $700 million evolving credit facility we announced on September 22nd. This new facility was well received by our Grand Bank Group and replaced our previous $450 million credit facility, it provides AMETEK with a larger financing capacity and increased flexibility to support our growth initiatives. Subsequent to the end of the third quarter we acquired Reichert Technologies and EM Test. Capital deployed in these acquisitions of total approximately $240 million which brings our cumulative expenditures on acquisitions in 2011 to approximately $425 million. Also subsequent to quarter end we repurchased 1.28 million shares of stock for approximately $43 million. This is an addition to $5 million spent in the third quarter. These repurchases were inline with our stated strategy to offset the diluted impact of our benefit plans with opportunistic share repurchases. Our highest priority for capital deployment remains high positions. In summary we had an outstanding third quarter of 2011 establishing records for many key financial metrics. We are well positioned for further growth both organically and through acquisitions the strong balance sheet and solid cash flows. Bill?
Bill Burke – Treasurer and Vice President, Investor Relations: That concludes our prepared remarks and frankly we happy to take questions now.
Operator: Thank you. (Operator Instructions). Our first question comes from the line of Jim Lucas of Janney Capital Markets. Please proceed.
Jim Lucas – Janney Capital Markets: Thanks good morning.
Frank Hermance: Good morning, Jim.
Jim Lucas – Janney Capital Markets: First two housing keeping questions, payable number and I’m sorry if I missed it but the backlog at the end of the quarter?
Frank Hermance: The payable number is 263 million, Jim.
Frank Hermance: And our backlog is 926.
Jim Lucas – Janney Capital Markets: Okay, thanks. And then with regards to EM Test looks a like very nice addition to power in test. You gave us a size of what medical is but I was wondering if you could talk about little bit more about the power and test platform now in terms of the total size. And how you view this platform going forward?
Frank Hermance: Yeah it’s great question, Jim. Basically the power segment after we include this acquisition is going to be about $350 million. We see a great opportunity because the power segment has been a smaller sub segment if you will within the AMETEK portfolio. And we’re looking at a number of different acquisitions to expanded this particular one really links with part of the existing power business. So we have a programmable power division that basically makes instrumentation that test power system. So it’s really in more of the test in T&M market then our other power businesses which are much more directly related to supplying are measuring power versus sort of automated type test system. So EM test is a logical fit because it also is in that general test and measurement type of market. And what you might envision over time is that we can build out both this test and measurement part of power as well as sort of the more intrinsic part of powers. So we see two growth opportunities here and we’re really looking at deals in both of those areas.
Jim Lucas – Janney Capital Markets: All right. That’s very helpful. And then just if you could give us update on what you are saying and various pieces on the aero side given that’s been later cycle more positive storage just any update there will be greatly appreciated?
Frank Hermance: Sure, Jim. Basically aerospace is gaining steam is probably the best way to describe it, when we look at the third quarter sales organically, we’re up about mid-single digits and when we look at the fourth quarter we’re expecting high single digits. So some of the strong order intake that we got in the first half of the year, which was the aerospace related is now starting to build in terms of shipments. And if you look at the various parts of the aerospace, it really moves around quarter-to-quarter, but let me give you some data to help you understand what exactly is occurring there. If you look at the strong parts in the third quarter they were basically commercial, which was up low double digits, its obviously driven by the strength in both Boeing and Airbus and also effect that more people are flying. And also somewhat surprising is that business in regional jet was also up low double-digits. And the reason for that is not so much the market of business jets but more the fact that we have won some major programs with very large customer in business in regional aircraft which is driving our growth. Military was up low single which is not surprising and third-party MRO in the third quarter was up like mid single digits, then if we look to the fourth quarter we’re going to see some shifts in this, with third-party MRO we expect to actually be up mid-teens. We expect business in regional jets to remain strong and commercial to remain strong and military to stay probably in that low single-digit arena. So we are pretty excited in general about aerospace and that is building steam and we think it’s going be a key driver to our performance next year and as I know you’re aware the profit margins in this part of the business are extremely good.
Jim Lucas – Janney Capital Markets: Great. And then just one final clarification, on the commercial side could you give us an update of where you stand OE versus aftermarket roughly on a mixed basis?
Frank Hermance: Yeah. Its roughly 50-50 in terms of the amount overall and the organic growth was about the same low double-digits in each part of the business.
Jim Lucas – Janney Capital Markets: Great, thanks a lot.
Frank Hermance: You bet.
Operator: Our next question comes from the line of Robert Berry of UBS. Please proceed.
Robert Berry – UBS: Hi guys, good morning.
Frank Hermance: Hi Robert.
Robert Berry – UBS: Looks like a pretty broad based strength in the portfolio but I was wondering if you could just flag any incremental science of softness that you’ve seen since the last quarter and in particular what you’re seeing in Europe.
Frank Hermance: Yeah, it’s great. Two questions, with respect to last quarter, there are really is not… (Technical Difficulty)
Operator: Please go ahead.
Frank Hermance: Everyone, this is Bill Burke, we’re back. We had a little bit of a power issue on this and here. Robert, I think you were asking your question I don’t know if we got to the end so I wanted to give the floor back to Robert Barry from UBS.
Robert Barry – UBS: Thank you. Yeah, I guess I just asked about whether since second quarter you’d seen any incremental signs of weakness in the business and in particular if you could comment on what you are seeing in Europe.
Frank Hermance: Right, Robert, what I was in the process of saying about weakness is that that really hasn’t been any major change between sort of Q2 and Q3. Our fourth year motor business is the one that basically as I’ll say return to normal sea and we’re seeing growth that is hovering around zero. But that’s in a sort of expected as we’re returning from an economic recession. In general, the portfolio is quite strong and in terms of the backlog, which is an indicator at the end of the second quarter, our backlog was $948 million. At the end of the third quarter, it was $926 million and most of that change was due to effect that was not due to any real weakening in the overall business. So, we’re pretty bullish overall on the markets, which is surely not consistent with what we read in the newspapers and listen to in the news.
Robert Barry – UBS: Great.
Frank Hermance: In terms of Europe was fine basically if you look at the overall growth of 16% in the company, the growth in Europe was 18%, the growth in Asia was 32% so, the total international growth was about 24% and that links with the U.S. growth, which was about 10% and I know that’s sounds to the 16% overall. So, in essence, our Europe is doing okay. So, we’re not seeing signs of demise in Europe and actually was sort of on the front page of the Wall Street Journal this morning. So far, so good. Now, we are obviously looking at it a very, very closely, we’ve got plans in place things we can, but right now it’s a pretty good situation.
Robert Barry – UBS: That’s very encouraging. I was wondering if I could ask about one particular end market that’s related to kind of the medical/research end market, I know we’ve seen some NIH related funding concerns impacting demand the customers either due to direct NIH funding or kind of collateral damage from uncertainty around parts of their budget. I was wondering if you were seeing any of that.
Frank Hermance: Our business is really are not linked directly to NIH funding and it has not been an issue for us and these businesses have been growing extremely well organic growth in the double-digit arena. So, we’re very pleased with the businesses we have and it’s just not a factor at least of any appreciable magnitude that we can detect.
Robert Barry – UBS: Yep and just finally can you share any color on what the margin profile is for EM test.
Frank Hermance: EM test is about the same level as the EBITDA margins of the company like the first deal is actually slightly above the EBITDA margins of the company. So, both of these are very, very good margin businesses and we also expect we can improve the margins from where they are.
Robert Barry – UBS: Okay. Any color on accretion?
Frank Hermance: Both of these deals will be slightly accretive next year and I wouldn’t assume any accretion in 2011 as a result of those deals.
Robert Barry – UBS: Yep, okay. Thank you.
Frank Hermance: You bet.
Operator: Our next question comes from the line of Wendy Caplan of SunTrust. Please proceed.
Wendy Caplan – SunTrust: Thanks, good morning.
Frank Hermance: Hi, Wendy.
Wendy Caplan – SunTrust: The new acquisitions, Reichert and EM test. Can you talk a little bit about what we are seeing currently in terms of the growth metrics of those two companies and also can you speak a little about the cost and revenue synergies that you expect.
Frank Hermance: Sure. In terms of growth, these businesses on the longer term are high single-digit type of growth businesses. Right now, there is actually a growth profile that’s a little bit higher than that. But I think if you model them over a business cycle that kind of high single-digit growth is the right sort of way to model the businesses. The synergies are going to be somewhat different for each of these businesses. If you look at the Reichert deal, they are very strong in the United States and very strong in Europe. But there is a huge opportunity in Asia only about 7% of their sales goes into Asia. So, we see a great opportunity to leverage our distribution system in China and the other Asian countries through facilitate their growth. We also see opportunity to improve the manufacturing efficiency in that organization. As you know, we run a very lean, very high margins, and even though this is a high margin business, we see opportunities to improve the manufacturing capability of that business. In the other business in EM test, the geographic profile is a bit different. It’s a Swiss-based company. So, we’ve got very strong sales in Europe and also very strong sales in Asia, but not strong sales in the U.S. matter of fact it’s about the same percentage, it’s about 7% of their sales is in the United States. So, we see an opportunity really in a cross distribution sense here to be able to take their products and leverage them in the United States and then conversely the part of our power business, which is in test and measurement, which is largely a U.S. base business to leverage it through EM Test distribution system in Asia and in Europe. So, we think there is really good cross distribution synergies there and similarly we think there is a ways an essence to improve the manufacturing efficiency of that company, it’s margins as I mentioned are down in line with AMETEK’s margins overall and we see potential to be able to increase those not only through the growth profile, but also through the cost side of the business. So, we’re obviously very early we just acquired the companies and our people are over there now and I know that I got an e-mail this morning, that they’re starting to have discussions about the opportunities on the synergies.
Wendy Caplan – SunTrust: Okay, thank you. And the record operating margin for EM, EIG, or for the company as the whole rather for the quarter, can you under the category of what you’re going to do from tomorrow. Do we think that there is upside to that going forward?
Frank Hermance: I do, Wendy, these levels I can remember when I first became CEO of more than 10 years ago we were talking about margins down in the 10% and 12% region. And we’re kind of very pleased obviously being up at this 21.3% kind of level. But if you just looked at two key facts and I’ll focus on 2011, which the same type of profile can carry forward. There is two drivers to these margins. The first is in essence the organic growth and contribution margin in our businesses. And for 2011 as I mentioned in my opening remarks, the organic growth is going to be up low double digits. The contribution margins in our business we basically told you to model it at 35%, I can tell you in the third quarter it was actually 42%. So, we had excellent flow through and as at our organic growth continues and we get that flow through in essence margins on the bottom-line can only go in one direction. So, we think there is leverage. The second part is our cost reductions and we put about $50 million in costs reductions through the P&L this year, a combination of our sourcing activities, which I talked about in my opening remarks as well as consolidation of facilities, value engineering, low cost locale manufacturing all the things that AMETEK has historically done. And we’re going to continue that matter of facts with the weakening of the global macro outlook, we’re going to be very aggressive next year and we’re going to put through more than $50 million in cost reductions through the P&L in 2012 we’re in the process right now to starting exactly what that number will be and where it will come from. But we want to be prepared in case things in fact do soften. So, the guidance that I’ve been giving and I’m still a very comfortable with is as we go forward modeling a number like 50 basis points is not an unreasonable think to model and hopefully we can do better than that, matter of fact this year now I think last quarter we told you for 2011, we’re to model a 150 basis points and with our strong performance in Q3, we’ve raised that not to a 160 basis points for the year. And that’s probably conservative.
Wendy Caplan – SunTrust: Great, thank you very much, Frank.
Frank Hermance: You bet, Wendy.
Operator: Our next question comes from the line of Allison Poliniak of Wells Fargo. Please proceed.
Allison Poliniak – Wells Fargo: Hi, good morning.
Frank Hermance: Hi, Allison.
Allison Poliniak – Wells Fargo: Just going back to the acquisitions I know you’ve talked about programmable power and not being an area to build that but can you just give us any thoughts on the pipeline where you’re looking at in generally and thoughts on the pricing environment as well?
Frank Hermance: Yeah, the pipeline is great. Really starting about midsummer, we saw our pipeline increase significantly, and that has continued. So, we’re pretty excited about our ability to add additional deals you can never really judge when exactly they’re going to close and even in some cases if specific deals are going to close. But I’m pretty bullish on where we are and what we can do and in terms of areas, we’re really looking across the portfolio and essentially all areas except our cost driven motor business. So, we’re looking within process that’s probably our number one area for adding acquisitions if we essentially had to choose. Aerospace is a very good place at the present time because we see strength in aerospace for the foreseeable future. If you look in our power businesses as we’ve already talked about obviously with due to their and if you go on the electromechanical side of the business we’ve been adding deals in our EMF division and in our technical motor operation and we will continue to do that. So I’m fairly optimistic and obviously as John talked about in his opening remarks we got plenty of fire power and we are going to use it and use it judiciously to continue to grow the company.
Allison Poliniak – Wells Fargo: Great. And then just back to the pricing side and in our multiple becoming more realistic and how are you looking at…
Frank Hermance: Well, they should be given the macro environment, but I’ve heard some other CEOs talk about multiples regressing. But I have not seen that yet, on the deals that we have been looking at. So multiples are from my view point still about a point of EBITDA too high, higher than I would like, and so we’re doing is looking for deals that are particularly attractive both from an organic view point and also from where we can add synergies. So that in excellence our return on investor capital is the same even paying that extra multiple point for the businesses. So just to give you a flavor, if you look at the multiples on these two deals, we paid above ten times forward EBITDA for Reichert and about nine times for EM test. And I would prefer those both of the about point lower. But we know are going get the return on investor capital on those deals, because of types of businesses they are and the synergies that I outlined.
Allison Poliniak – Wells Fargo: Great, thank you.
Frank Hermance: You bet, awesome.
Operator: Our next question comes from the line of Jamie Sullivan of RBC Capital Markets. Please proceed.
Jamie Sullivan – RBC Capital Markets: Hi good morning.
Frank Hermance: Good morning, Jamie.
Jamie Sullivan – RBC Capital Markets: Frank, you walk through the aerospace in detail maybe you can just go through the other areas of the business as well for the third quarter and your outlook near-term?
Frank Hermance: Sure, I’ll be glad to do that. So I will start with the other businesses and EIG. In the process businesses our market performed extremely well in the third quarter. Sales were up more than 30%. We saw very strong growth across essentially all parts of the business. Oil and gas business continue to show sizable strength, but also our Ultra Precision Technology, our material analysis, and our measurement calibration technology divisions were also very, very strong. On an organic basis sales were up mid-teens on a percentage basis in the quarter. And if we look at all of 2011, we expect this business to grow approximately 25% with mid-teen percentage organic growth and in particular we expect very strong performance from our later cycle oil and gas businesses. So processes just really humming at this point in time. And also our powered industrial business is doing very, very well. Q3 sales were up high single digits organically with good growth across both the power and the industrial parts of the business. So good strength we were very pleased with that and we started out very strong in this business and we expect that sales were powered industrial will be up high teens organically in 2011 really driven by strength in the later cycle power business but also good strength in our industrial business. So to sum up all of EIG including will I talked about for aerospace for EIG we know expect 2011 overall sales to be up more than 20% with mid-teens organic growth and that is actually an increase overall previous guidance both on overall sales and also an organic growth. Moving to the other half of the company, the electromechanical group for our differentiated EMG businesses, overall sales were up mid-teens on a percentage basis in Q3 with mid single-digit organic growth. And for 2011 we expect this business to be up approximately 25% driven by strength and actually all of the major parts of the differentiated business, technical motors, EMF and also our third-party MRO business. And for the full year we expect organic growth to be up about low double digits. And the last part I have already talked bit about talked bit above which is cost driven motor business that as now less than 10% of AMETEK its our legacy business for those view that knew with us. And its return to what I would call more normal trend in 2011 after a strong growth in 2010. For 2011, we expect the business to be about flat and Q3 sales were down just slightly just down low single digits. So, as you know we don’t manage that business for growth, we manage it much more for profitability. So for all of EMG then, we are now expecting 20% growth in 2011 with organic growth up in that high single-digit arena and if you saw EMG and EIG for AMETEK is a whole in 2011, we’re expecting approximately a 20% sales increase with organic growth of low double-digits and again both of those are increases from our previous guidance. So, we’re feeling quite good as we’ve gone through the third quarter about our prospects for the year. I hope that helps.
Jamie Sullivan – RBC Capital Markets: Thanks very much.
Frank Hermance: Okay.
Operator: Our next question comes from the line of Matt Summerville, KeyBanc Capital Markets. Please proceed.
Matt Summerville – KeyBanc Capital Markets: Good morning. Frank, you’d commented in your discussion on the aerospace piece of the business, I wasn’t clear that was relegated to EIG or the whole company when you were talking about the military side of the business still being up and I guess when I’m trying to get that, could you just sort of review where your exposures were at from an instrumentation and electromechanical group standpoint to the military and defense markets. How much your business that is today and I guess how we should think about that heading in the next year.
Frank Hermance: Yeah, the military business is largely on the EMG side of the business and it’s roughly a third of our overall aerospace business in terms of the full company. So, we’re looking and as I mentioned we saw low single-digit growth in Q3, we’re expecting sort of low single digits in Q4. We have not rolled up our budgets yet for that part of the business, but I’m actually expecting this business to be up low to mid single digit next year, that’s my sort of thought process without yet having the benefit of going through the budget with the people are running that business. So, it’s not going to be the prime driver to growth in aerospace, what is going to be the prime driver is our commercial and related to that the third-party MRO businesses, commercial aerospace is just doing extremely well if you look at this year, Boeing volume is going to be up about a 11% and Airbus is going to be up about 3%. Both of them are projecting growth next year of essentially 10% to 11% and they are going to between and they are going to produce about a 1150 aircraft so, we had not – we saw a bunch of the orders come through in the first half of the year and we’re starting to see our shipments rise as they’re getting obviously prepare to ramp-up their production rates and they seem to be repetitively announcing further aircraft bill rates out in 2012 and 2013 so, this is going to be a key part of the business that’s going to grow and also the third-party MRO business. We expect that to be up this year in the mid-teens to low double-digits actually it’s low double digits as I look at my sheet here and we think that’s going to be great perform next year, not only because of the market rebound, but also because our ability to win share. So, those two parts of the business which are in excess of 50% of the business are really going to be the key drivers as we go forward versus the military piece of the business.
Matt Summerville – KeyBanc Capital Markets: Got it. And then Frank I think your total orders in the first couple of quarters of this year were running just under $800 million a quarter and it looks like the tapered off a bit here in Q3, can you sort of reconcile what that change in income in order rates has been driven by and I guess can you talk about overall order linearity as you move through Q3.
Frank Hermance: Yeah, order linearity was extremely good, it was linear basically, August have slightly to weaker just due to the vacation, but it basically is flat. If you look at the order trends you’re absolutely right, that went from 800 around – I think it’s around little bit less than 800, no actually was lower in first quarter, then it was about 798 or something like that 97 and it went through about 728 in Q3. However if you look at it organically from Q2 to Q3, it’s actually only down about 4% organically and that’s primarily due to Europe and an essence that part of the oil that goes on vacation for a substantial part of the third quarter. So that’s sort of a normal trend for us with Q3 orders being a little bit weaker. So, an essence we’re really not feeling any major change in the business even though, the numbers look large the $800 million to the 728 organically, it’s not that big. We had some acquisitions in the second quarter that we had acquired backlog that was in that $800 million number. So in a way, it was unofficially high I would say. So we’re feeling very, very good about the order rates in the company and as I mentioned the 728 is still organically up about 5% and again if you extract backlog from acquired businesses last year was up 8% overall. So, we’re feeling okay about the order, we don’t see any major problem, I mentioned the backlog – the backlog is hanging in there. And so, we feel pretty good.
Matt Summerville – KeyBanc Capital Markets: Great, thanks for the color, Frank.
Frank Hermance: You bet.
Operator: Our next question comes from the line of Richard Eastman of Robert W. Baird. Please proceed.
Richard Eastman – Robert W. Baird: Yes, two quick things and good morning.
Frank Hermance: Good morning.
John Molinelli: Good morning, Richard.
Richard Eastman - Robert W. Baird: On the incremental margin, Frank you’ve talked about that little bit earlier I think you’ve mentioned quarter was around 42% in this quarter. As you look out the ’12 if we assume maybe some shift in the mix of business perhaps process settles down a little bit, aerospace picks up a little bit is the buyer towards higher incremental margins or at least sustainable incremental margins up in this 40 plus range, if mix shifts a bit?
Frank Hermance: No your question is a very good one. And these incremental margins due tend to move around quarter-by-quarter depending on the exact mix. So, what we’ve basically told you guys or suggested to you to model is about a 35% number. I think there will be buyers from that 35% number as we go into next year in the positive direction. I think you’re exactly right that we probably are not going to see as much organic growth next year and process as what we’ve seen this year because obviously the numbers in process have been sort of off the charge. And we’ll be to having tougher comps, but I think they will pick in aerospace and there will be both of those are very high contribution margin businesses. I would be uncomfortable and telling you to take the 42% and add something to hit. But I’m very comfortable and saying the 35% should have an upward buyers.
Richard Eastman – Robert W. Baird: Okay. And then just lastly again I want to go back for a minute to the investment that you make in RD&E.
Frank Hermance: Yes.
Richard Eastman - Robert W. Baird: Substantial, the target – a point or two points above market growth across year segments from the RD&E or is it more of maintaining leadership, which maybe give you little better price. But how should we think about that investment maybe driving better than market growth in terms of sales across your segments?
Frank Hermance: Right, I mean fundamentally we’re driving that investment by where we can grow. And if it on a very key point as you know we are very niche focus. And not only do we want to keep our leadership in the niche is we’re in but we also want to expand to go in other area. So we actually model our development expense and if you can think of the our sort of the graph where you have two points which is existing markets and new markets on one access and if you look on the other access. And you sort of look at where that investment goes we tried a position that investment. So that we get the maximum growth and we actually have an internal strategic planning process that augments that both in terms of the development expense but also where we look for our acquisitions to get that revenue growth. If you look at our businesses and just split them the amount of investment we make in engineering on the instrument side of the business is much higher than on the electromechanical side and that’s because the instrument business is tend to be more RD&E driven and less capital intensive. But on the EMG side they are more capital intensive and less R&D focus. So, when you look at it, I didn’t look this particular quarter. But in general, we tend to invest at about a 6.5% to 7% kind of level in the instrument side of the business and more or like a 3.5% kind of level in the EMG businesses and that’s probably what we will see going forward. So, we just review this as the key lever for organic growth in the company, this and obviously the international focus. So, we’re going to continue to put investment in and as you can see we’re up 24% this year, which is a huge increase in the investment and hopefully that will pay off in spades as we go forward with the organic growth of the company.
Richard Eastman - Robert W. Baird: Excellent. And then just the last thought from the perspective of the acquisitions that you made, when you look back over the last may be 12 months here in terms of once that have been integrated now come towards organic growth. Are you still comfortable that you’re driving that margin, I think you used the number that margins would increase, I think it was a third by a third post acquisition. Are you still comfortable you’re getting that type of leverage off of those?
Frank Hermance: Yeah, John just ran the analysis. Why don’t you talk to the John.
John Molinelli: Yeah, we tract every acquisition we do at the on the anniversary and we just tag related to once for the last to hit that point and as right on the money here roughly 24%, 25% of an EBIT and that’s after you dial in the acquisition activities, the purchase accounting, the profits in inventory so, we’re driving those margins that in a spot on our price track record and we’re exceeding our models, Richard so, we’re doing well in that.
Richard Eastman - Robert W. Baird: Okay, very good.
John Molinelli: No degradation at all.
Richard Eastman - Robert W. Baird: Great, thank you very much.
John Molinelli: All right, Richard.
Operator: Our next question comes from the line of Christopher Glynn, Oppenheimer. Please proceed.
Christopher Glynn – Oppenheimer: Thanks, good morning. Yeah, I know you’re still doing the 2012 plan, but you commented on some of the businesses and just from a pragmatic point of view really establishing tough constant some areas so, I think businesses outside the cost driven more as you think are really more positions to plateau may be the comment on the power industrial in particular.
Frank Hermance: Well, I actually think to a large degree except the aerospace business, as you are going to see what our call it return to normal so, I wouldn’t use the word plateau, we’re talking this year organic growth rates that are in the low double digits, we’re not going to be looking at double-digit organic growth next year and I don’t think you’re going to be seeing that from virtually any of the industrial company so, I think there is going to be a return to normal sea and I expect it’s going to happen essentially along the cycle of the business, I’ve already talked about our cost driven motor businesses which had a very short cycle businesses returning to normal sea. I think you’re going to see sort of the mid cycle businesses start returned to normal sea. We’re not seeing that yet, but I would expect that would happen as we go through next year. And I would expect the cops in the oil and gas business as I mentioned before the more difficult so, we’re not going to be seeing it that mid-teens organic growth next year, but I think it will be very good growth. And then I would expect the aerospace business is to pickup over this year so, to me it’s kind of a normal recovery at the way you would expect these businesses to perform.
Christopher Glynn – Oppenheimer: Okay, thanks Frank.
Frank Hermance: You bet, Chris.
Operator: Our next question comes from the line of Mark Douglass, Longbow Research. Please proceed.
Mark Douglass – Longbow Research: Good morning, gentlemen. Keep this quick and I assume you had some battery backup of here and there.
John Molinelli: We’re unfortunately, no.
Frank Hermance: I am embarrassed to tell you that we forgot to plug in the company and the battery ran out on the computer. So, we’re going to have to get our power business here. We actually do a battery backup in the building, but it doesn’t help, we’ve got the borrowers which are…
John Molinelli: I think you had a question.
Mark Douglass – Longbow Research: Just real quickly most of my questions have been answered. Can you breakdown some of the margin improvements you mentioned, your operational excellence was $8 million in savings. Can you quantify how much was due to a more favorable mix of oil and gas being really strong as well as aerospace. Can you classify that?
John Molinelli: I really don’t have numbers that I can quantify where it exactly came from. So but obviously if you look at the general areas were it came from the sourcing was very strong as you mentioned with that $8 million in the quarter. We are really ramping up the value engineering activity in the company, we trained most of our people in value engineering and those divisions where we saw substantial leverage. So that has got a positive factor in terms of what’s happening. We are also continuing to move production to low cost accounts and will probably add another $40 million plus to our low cost accounts doing the year not specifically in the quarter. So that’s key area focus in that our divisions our also some of the margin and some plan consolidations. So that’s running through the P&L another way that I can maybe answer your question as we do with that price versus cost. And in essence in the third quarter our pricing exceeded our cost increases in the business by about half of point our sales pricing was up about 2% and our cost on the input side were up above 1.5%. So we essence exceeded back light by half of point and that’s one of our goals just always at the pricing exceed the cost inflation. And that inflation includes the cost reduction that I am talking about another words with put those best through and that’s what enables us to give this.
Mark Douglass – Longbow Research: Great. And then with the commodity cost maybe tailwind and just hope pricing continue that to be even help margins of 2012 presuming.
John Molinelli: Yeah.
Mark Douglass – Longbow Research: Some of the development you have, commodity cost is going to stay with that right now?
Frank Hermance: Yeah. I mean we are not going to gain much from the fact that commodity prices have gone down. Because as we mentioned in the past we’re fairly immune to the basic commodities. And I am talking about things like nickel and steel, and iron and things of that nature because we have either put escalation costs in our contracts which are going move in both directions or we sort of we cloud based on this smart price of those particular commodities and as we go after we quote it we basically locked it in using some forward contracts. But it’s only what’s essentially in the backlog that we do that on. So we’re impervious to whether commodities go up or down, so we are not going to gain from that. But we plan on being quite aggressive on pricing next year. In the pre-budget memo that I put out I have asked for more aggressive pricing next year than this year and we think there is an opportunity to get that. So hopefully when we talked to you in January and talk about our budget for the year. You will see number that’s higher than not have percent that I talked about in terms of price exceeding cost.
Mark Douglass – Longbow Research: Okay, thank you.
Frank Hermance: You’re bet.
Operator: Last question comes from the line of Elana Wood, Bank of America. Please proceed.
Elana Wood – Bank of America: Good morning everyone.
Frank Hermance: Good morning, Elana.
Elana Wood – Bank of America: Just want go back to the 32% incremental margin, acquiring incremental margin. We do have this spread between EMG and EIG.
John Molinelli: Its strong there EMG then it is in EIG I don’t have the numbers right my ahead but it was definitely stronger and you can see that with the bottom line incremental margins. We saw an EMG with recurred they were up 180% and an EIG which as much higher absolute margins they were up above 40 basis points. So was definitely higher an EMG and an EIG.
Elana Wood – Bank of America: Okay. And then inform to back your comments raw material spreads and how with that price cost the 50 basis points of benefit compare to the second quarter.
John Molinelli: I think it was 1% in the second quarter, I think it was 1%.
Frank Hermance: Its right.
Elana Wood – Bank of America: Okay. And then just lastly this is the question for John, pension what should we through preliminary be modeling in terms of pension headwind for next year assuming discount rates stay relatively flat versus where we are today.
John Molinelli: We don’t see a major problem at pensions as you know that there is a lot of other assumptions going to that premature to get guidance but we’re over funded in the pension plans and I think that next year will be able to manage our way through that just buying a lot.
Elana Wood – Bank of America: Okay. So, you’re suggesting that will not be a headwind or.
John Molinelli: It maybe but as we got other winds going in different directions. So we’re not that concerned about pension, we’ve got strong funding there, so we’re okay.
Elana Wood – Bank of America: Okay terrific. Thank you.
Frank Hermance: You bet.
Operator: Ladies and gentlemen. (Operator Instructions) Mr. Burke, there are no further questions at this time.
Bill Burke – Treasurer and Vice President, Investor Relations: Okay great thank you Frank and thank you everyone on the call. We appreciate you joining us and as a remainder replay of this call can be accessed on both ametek.com and at streetevents.com. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day, everybody.